Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2013 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, the conference is being recorded, Thursday, April 18, 2013. I would now like to turn the conference over to Sal Rappa, Senior Vice President. Please go ahead, sir.
Sal Rappa: Thank you. And welcome to the Cohen & Steers first quarter 2013 earnings conference call. Joining me are Co-Chairman and Co-Chief Executive Officer’s, Marty Cohen and Bob Steers; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler. Before I turn the call over to Matt, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the Risk Factors section of our 2012 Form 10-K, which is available on our website at cohenandsteers.com. I want to remind you that the company assumes no duty to update any forward-looking statements. Also, the presentation we make today contains pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the company’s performance. For detailed disclosures on these pro forma metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued yesterday, as well as in our previous earnings releases each available on our website. Finally, this presentation may contain information with respect to investment performance of certain of our funds and strategies. I want to remind you that past performance is not a guarantee of future performance. For more complete information about these funds including charges, expenses and risks, please call 800-330-7348 for perspectives. With that, I’ll turn the call over to Matt.
Matt Stadler: Thank you, Sal. Good morning, everyone, and thanks for joining us this morning. Yesterday, we reported net income of $0.34 per share, compared with $0.41 in the prior year and $0.49 sequentially. The first quarter of 2013 included an after tax expense of $0.10 per share, primarily due to costs associated with the offering of Cohen & Steers MLP Income and Energy Opportunity Fund. After adjusting for these items earnings per share would have been $0.44. Revenue for the quarter was record $72.5 million, compared with $63.7 million in the prior year and $71.7 million sequentially. The increase in revenue from the prior year was attributable to higher average assets, resulting primarily from market appreciation, the launch of two closed-end funds and net inflows into open-end funds. Average assets for the quarter were a record $47.4 billion, compared with $43 billion in the prior year and $44.9 billion sequentially. Our affected fee rate for the quarter was 55.9 basis points, down from 56.3 basis points in the sequential quarter. The decrease was primarily due to a decline in the value of the end, partially offset by a continued positive shift in the mix of our assets under management. Operating income for the quarter was $20.7 million, compared with $25.4 million in the prior year and $32.7 million sequentially. Excluding the closed-end fund offering costs, operating income for the first quarter of 2013 was $28.5 million. Our operating margin adjusted for the offering costs decreased to 39.4% from 46% last quarter. The decrease was primarily due to lower compensation and benefit last quarter resulting from the cumulative effect of an adjustment to incentive compensation and higher distribution and service fee expenses this quarter. Pre-tax income for the quarter was $23.3 million, net of noncontrolling interest, which represents third-party interest in the funds that we have consolidated, compared with $28.2 million in the prior year and $33.9 million, sequentially. Excluding the offering cost pre-tax income for the first quarter of 2013 was $31.1 million. Assets under management totaled the record $49.3 billion at March 31st, an increase of $3.5 billion or 8% from the fourth quarter. The increase in assets under management was attributable to market appreciation of $2.8 million and net inflows of $773 million, marking the first time since the third quarter of 2011 that we recorded overall positive net flows. At March 31st, our U.S. real estate strategy comprised 50% of the total assets we manage, followed by global and international real estate at 23%, preferred securities at 10%, global infrastructure at 9% and large cap value at 8%. Assets under management in institutional accounts totaled $26.1 billion at March 31st, an increase of $1.2 billion or 5% from the fourth quarter. The increase was due to market appreciation of $1.6 billion, partially offset by net outflows of $344 million from global and international real estate strategies, primarily from subadvised accounts. The net outflows from subadvised accounts is the lowest we have recorded since the fourth quarter of 2011, when we first started to experience net redemption. If you annualize first quarter flows institutional accounts had a 6% decay rate. Our open-end funds had record assets under management of $14.4 billion at March 31st, an increase of $1.5 billion or 12% from the fourth quarter. The increase was due to market appreciation of $826 million and net inflows of $659 million. This marks the 16th consecutive quarter of net inflows into open-end mutual funds. If you annualize first quarter flows open-end funds had a 20% organic growth rate. Assets under management in our closed-end funds totaled $8.8 billion at March 31st, an increase of $808 million or 10% from the fourth quarter. The increase was due to the launch of Cohen & Steers MLP Income and Energy Opportunity Fund, which raised $458 million excluding the greenshoe in leverage and market appreciation. Assets under advised decreased $684 million or 8% from the fourth quarter. The decrease was due to net outflows from model-based strategies attributable to our business in Japan. Moving to expenses, on a sequential basis expenses increased 35%. The increase was primarily due to higher employee compensation and benefits, distribution and service fees and G&A. Excluding the offering costs, expenses were up 14% sequentially. After adjusting for compensation costs associated with the close-end fund launch the compensation to revenue ratio for the quarter was 32% consistent with the guidance provided on our last call. Distribution and service fee expense included $7.2 million of compensation payments made to underwriters in connection with the close-end fund offering. Excluding these payments distribution and service fee expense was in line with the increase in the average assets of our open-end mutual funds and the increase in G&A was slightly lower than the guidance we provided on our last call. On a sequential basis non-operating income increased $1.4 million net of noncontrolling interest. The increase was primarily due to higher returns from our seed investments. Turning to the balance sheet. Our firm liquidity totaled $166 million, compared with $175 million last quarter. Our stockholders equity was $223 million, compared with $217 million at December 31st and we remain debt free. Let me briefly discuss a few items to consider for the second quarter and the remainder of 2013. Our effective tax rate this quarter was 35%, which was below the 37% we estimate. The lower effective tax rate was primarily due to lower projected U.S. taxable income, resulting from deductible expenses incurred in connection with the closed-end fund offering as well as some discrete items. We expect that our effective tax rate for the remainder of the year will approximate 37%. With respect to compensation and benefits, we expect to maintain a 32% compensation to revenue ratio. And finally, we expect G&A will approximate 15% of revenue for the second quarter. As a reminder, G&A includes the full year’s impact of extending our lease of 280 Park Avenue, higher business related travel, including increased trips internationally and an increase in fund reimbursement losses. Now, let me turn it over to Marty Cohen.
Marty Cohen: Thank you, Matt. It’s been a very busy period for our company so far this year. Like most asset managers, we have enjoyed strong market tailwinds. Unlike some managers, nearly all of our strategies are attracting strong interest and that’s beginning to translate into good flows. This includes retail, which has Matt discussed has enjoyed very strong organic growth, but also is institutional where despite out close from some subadvisory accounts, we are seeing strong interest globally. As we have discussed before, the asset classes that we offer are deliberately chosen for us timely. In this slow growth, low interest-rate environment that has persisted and looks like it may continued to persist, we have found that a number of trends have remained in our favor. First is that real estate continues to be an attractive proposition, due to its relatively high yield and the ability of our companies to finance asset purchases and refinance their balance sheets at extraordinarily low interest rates. We think the investments worlds of large underestimates the power of this environment. The REIT dividends story -- the REIT dividend growth story remains as strong as ever. For example, so far in 2013, 63 North American REITs have already raised their dividends, many by meaningful amount. I should mention that our Flagship Cohen & Steers realty shares fund is the nation’s largest actively managed open-end real estate mutual fund. Preferred securities have been our fastest-growing asset class due to their exceptional yield and their often complex structure that can make investing in individual issues somewhat tricky. Preferred securities in the past 12 months have increased to 10% of our total assets under management from 5%. We now manage the second largest actively managed open-end preferred securities mutual fund in the nation and it is barely three-years old. Listed infrastructure, which we define do also include master limited partnerships or for above average yields that also have the potential to grow their distributions. This asset class has increased its share of our AUM to 8.5% from 7% a year ago. In addition to our recent closed-end funds, we are also seeing very strong interest from the institutional community globally and there is a strong and growing pipeline of RFPs out there, representing good potential future mandates. It appears that the window for closed-end funds is wide open again. The ability to assemble a portfolio of relatively high yielding investments and use a prudent amount of what is now extremely low-cost leverage is understandably very popular. These funds are broadening their PO to a range of financial advisors and their clients. And we are at work on new investment portfolios that could potentially be offered at sometime in the future Cohen & Steers is the sixth largest manager of closed-end funds in the nation. Importantly, all of our recent offerings are trading above their IPO prices as well as their net asset values. We are pleased to report that investment performance has improved in nearly all of our strategy and that’s certainly has helped our current positioning. On the flip side, large cap value has had a declining share of our total AUM and we’ve had no meaningful net flows either way. Global and international real estate has also diminished due to net outflows and weaker appreciation. As we announced recently, we have further strengthened our commitment to alternative and real asset and have brought on a very talented commodity management team that have previously been with GE Asset Management. We expect to offer their investment expertise in a variety of channels from standalone portfolios, or separate accounts for institutions to integrated multi-asset portfolios. Frankly, commodities have not been that popular, particularly lately, in fact particularly this week if they do provide meaningful portfolio diversification. Further, we remain convinced that the ultimate consequence of massive fiscal and monetary stimulus will be inflation and economic growth that will absorb any excess supply of many naturally resources. We view this as an important investment in our future. With respect to our business in Japan, as Bob reported last quarter, outflows have abated in U.S. real estate and are now beginning to abate in global real estate. Though not yet positive, total outflows are the lowest in over a year and there were some preliminary signs that may turn positive as Japanese investors seek both income and non-yen denominated assets. We’ve established a very strong brand in Japan, where we have now been working for nearly 10 years. We are reinforcing our presence in Japan and adding senior professionals with the objective of broadening both our distribution and investment offerings. We are very encouraged by our prospects for asset gathering, not only in Japan but also in Greater Asia. In closing, we view 2013 as the year, in which we will be investing heavily in our future. Notwithstanding strong and extremely discipline financial -- strongly disciplined financially, we understand the need to reinforce our infrastructure and expand our investments sales and support efforts. Our real asset efforts are in high gear and we are also exploring the potential of each of our existing strategies. We think that as the marketplace shifts to equity investment and alternative assets, we expect to be well-positioned to meet investor needs. With that, I would be happy to open it up to any questions.
Operator: (Operator Instructions) And our first question comes from the line of Mac Sykes from Gabelli & Co. Please proceed.
Mac Sykes - Gabelli & Co.: Hi. Good morning gentlemen. Just a couple of quick things, I was wondering if you can provide some color, excuse me, color on the model-based strategies. And so the AUM dipped this quarter, so what’s the outlook there. Any visibility on that business?
Marty Cohen: What strategy?
Bob Steers: The long-based portfolio on the assets and advisory?
Marty Cohen: Mac, we don’t really provide guidance on that. I mean, I think we’ve seen in the model base that there was a decline. And in the other two categories, we had slight increases in both in ETFs and our unit investment trust business. We said in the past that the majority of what we’ve been experiencing in the model base on a net basis relates to the business in Japan. I think we’ve seen some deceleration in that both in assets under management and in the assets under advisement. But we don’t really give guidance on that because we’re just a sub-advisor in that relationship. We have had -- in the UMA channel, we have had some positive inflows from some of our other partners there. But the majority of that difference for this quarter is the Japanese relationship.
Mac Sykes - Gabelli & Co.: Got it. The closing fund that was launched recently, I expect -- I mean, if you go to 30% leverage, what would be -- is there any sort of visibility on the timing of that. It might be sooner rather than later or depends on market conditions. Just sort of understanding the flows in?
Marty Cohen: Well, it’s like in the IPO where the underwriter has a greenshoe option which would take up to 45 days than typically we would set the leverage once we know what the total size of the fund would be.
Mac Sykes - Gabelli & Co.: Okay.
Bob Steers: So think of a second part of this quarter. We would get greenshoe in leverage. The fund was launched at the end of the first quarter. So it was really no fee income from that. And the fee income in the second quarter will be weighted more at the current level for the first half and then the increase for the second half in the second half of the year.
Mac Sykes - Gabelli & Co.: Okay. And then if we exclude the, sort of, the impacts on the yen on the average fee rate for the firm. What would that number be?
Marty Cohen: It was included in there. I mean, that’s why we had a decline despite the positive.
Bob Steers: Yeah. It would be if we excluded it.
Marty Cohen: It would probably be higher. It would be higher by a basis point, a little over basis point.
Mac Sykes - Gabelli & Co.: Okay. Perfect. Thank you.
Marty Cohen: Thanks.
Operator: (Operator Instruction) And the next question comes from the line of Adam Beatty with the Bank of America. Please proceed.
Adam Beatty - Bank of America: Thank you, and good morning. Just a follow-up on the question about assets under advisement. Could you give us, maybe even just ballpark, how many strategies are in each of the three buckets that you report? Like how many ETFs are, for example, in the ETF bucket?
Marty Cohen: There is one -- the major one is our iShares. That’s the…
Adam Beatty - Bank of America: Okay.
Marty Cohen: I think we have three in total.
Adam Beatty - Bank of America: Got it.
Marty Cohen: But the one is the dominant one.
Adam Beatty - Bank of America: Okay.
Marty Cohen: At UMA.
Adam Beatty - Bank of America: That’s ICF which has 3 billion.
Marty Cohen: Right.
Bob Steers: Yeah. And as I’ve taken, in the UMA, we have REITs, Global REITs, Infrastructure and Preferreds.
Adam Beatty - Bank of America: Okay.
Bob Steers: So we have most of our strategies in those channels.
Adam Beatty - Bank of America: Got it. Okay. That’s very helpful. I appreciate it. And then I guess, on the high topic in terms of REIT flows in Japan. Some of the qualitative commentary which seems to indicate that there has been a bit of stampede back in having been out for while. Frankly, your sort of gradual improving trend, I think is probably healthier but number one, I guess, are you seeing a retail stampede? And if so, what’s driving, I mean, people, sort of, say low yields and I guess, low yields in Japan to me is not new news. So just any commentary around REIT flows in Japan?
Marty Cohen: Well, I’ll make a couple of comments. And you touched on one of them in your question. And that is the characteristics of flows in Japan do vary depending on the type of distribution you have and the distributors that you have. And so whereas the distributors that are comparable to the wire houses here in the states have much higher velocity of flows in and out whereas bank distribution is much more measure both in and out. And while we have exposure to both, the preponderance of our assets have been distributed to regional banks. Now, that said, I think investors, it’s hard to generalize, frankly about what’s going on in Japan. I think there is a lot going on. There is a change in sentiment. There seems to be more optimism about investing in a broad range of things but certainly, income-oriented, non-yen denominated investments like U.S. REITs look particularly good with the acceleration of the yen’s decline. So the flow trends are very favorable and improving. And so we are trying not to get too optimistic about the prospects for the rest of the year. But certainly the momentum is moving back in our favor.
Adam Beatty - Bank of America: Got it. That’s very helpful. Thank you. And then a little bit on maybe the institutional advisory side. Yesterday, the IMF had a report out, talking about pension funds and again probably not new news how critical underfunded pensions are sort of stretching for yield end or capital appreciation. Just a view on that, it sounds like the RFP pipeline is strengthening which is good. How you see higher yielding securities like REIT, like Infrastructure playing into that. And also on the supply side, any movements you’re seeing in terms of more public listing of those types of securities?
Marty Cohen: Well, with respect to institutional demand for REIT and similar portfolios, I would say that there too we’re seeing a gradual improvement in the level of interest and the pipeline. As you may recall, up until about three or six months ago, in our global and international strategies, we were in the penalty box because of under performance. Our performance in last six or nine months has improved substantially. And so there too, we’re becoming more optimistic. Those accounts that might have been on watch list or not on watch list any more. And we are seeing additional interest there. We are particularly seeing an improvement in interest in listed infrastructure institutionally. And frankly, even Preferreds which heretofore had not been a investment strategy that was widely embraced by the institutional market place.
Bob Steers: I’ll answer the second part of the question which is what we’re seeing in terms of the markets manufacturing new securities that fit into these strategies. I know three different areas. The first is in the preferred area. It’s probably among the most dynamic and that’s being driven by the changes in the regulatory environment for financials in particular banks. And it’s happening on a global scale. So we’re seeing significant new issuance of Preferreds. In some cases, it’s refinancing to take out all Preferreds to lower coupons. But in another case, it’s to help build capital to meet the new regulatory requirements. So that’s very exciting to us and very dynamic. The secondary would be infrastructure where we’re seeing a lot of activity, particularly in the master limited partnership area, where there are new companies being brought public and existing company issuing new shares to help finance the midstream energy industry in this country which I’m sure many of you have read about. Then the third area is in the real estate securities segment where we had a very good time in the real estate cycle. As Marty mentioned earlier, our companies have tremendous access to capital. So the existing companies are using that access to expand their businesses on terms that are very accretive. But we’re also seeing some new companies being formed in Asia occasionally and in the U.S. and also some emerging markets like Mexico. So as long as the conditions that we are in today continue, we’re going to continue to see more capital formation and company creation in the real estate area.
Adam Beatty - Bank of America: Great. Excellent detail. Thanks for hitting both side of the questions. I appreciate. That’s all I had today.
Operator: And our next question comes from the line of [John Dunn] from (inaudible) Co. Please proceed.
Unidentified Analyst: Thanks for taking my question. On the 2013 investment spend, which areas do you think are likely to see the most spend?
Matt Stadler: Sorry, I didn’t quite catch the question, investment…
Unidentified Analyst: Sure. On the 2013 investment spend, which areas do you think need the most?
Matt Stadler: Yeah. There is a great deal on distribution. I think our popularity has probably outgrown our distribution force. And we need to service those distribution channels. We need to penetrate them a little better than we have. We think we can do that whether it’s in the retirement market in the U.S. or in Asia where we’re seeing a lot of interest in all of our strategies. So we have -- I would say distribution is where most of investment spending will be.
Unidentified Analyst: Right. Okay. And then on the closed-end fund side, do you have a sense of how many could be launched in 2013. Another words, if you get to the end of the year, what would you consider to be a successful year on that front?
Matt Stadler: It’s very heard to say. I don’t think we want to put a number out. But as I mentioned we are at work looking at strategy that would accommodate the market. There is a lot of steps to come in public. And one of these is got to be a good strategy in the underwriting and accounting to open up. So I don’t think we would be that comfortable given you a number.
Unidentified Analyst: Okay. Great. Thank you. I appreciate it.
Operator: There are no further questions at this time.
Bob Steers: Thank you very much for joining us. And we look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your presentation and ask that you please disconnect your line.